Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Manitex International, Inc. Third Quarter 2012 Results Conference Call. [Operator Instructions] 
 I would now like to turn the conference over to David Langevin, Chairman and CEO. Please go ahead, sir. 
David Langevin: Thank you, Damien. Good afternoon, everyone, and thank you for your interest in Manitex International. On the call with me today is our President and COO, Andrew Rooke. Please see our website or our release for replay instructions for this call, which will be available until November 15. Please refer to the first slide regarding the Safe Harbor statement. We encourage you to review this statement as well as our SEC filings for further guidance on the risk associated with our company.
 I will begin by making a brief opening statement followed by detailed review by Andrew, and a closing statement by me, and then we will open it up for questions.
 So now, please refer to Slide #3. We reported a solid quarter with new records of sales, profits and EBITDA. Our sales were up 45% over the prior year quarter, EBITDA was up 70%, and profits at 145%. These results represent a significant achievement by our team, but we are not finished with our mission.
 We began this year with a goal of increasing our production steadily throughout the year to respond to the demand for our products. The results show that we’ve taken our level of sales from the mid-$30 million range for the comparable quarter a year ago to current quarter sales which exceed $50 million. Further, demand for our products remains solid with no cancellations in our backlog to-date, which allows us to continue on our path of increasing our production with measured growth while expanding our efforts to control inventory expansion and improve our operating efficiencies.
 We also have a broader mix of products than we did just several years ago, which allows us to participate in new economic sectors and expanding opportunities. This product expansion is the result of our allocating investment dollars to R&D with the goal of adding significant features to our best-selling products, as well as the introduction of new equipment such as the new crane we recently announced and mentioned in our release. We are also planning to launch several more new products in the next few quarters.
 Our R&D efforts follow our strategy of offering products in areas where we identify as high-growth niches, where we can continue to enjoy limited competition as a niche provider of specialized products. Our immediate plans to continue the growth of our company are to concentrate on extensive marketing through our broad distribution network and the new products we’ve introduced and finishing the products we have in the pipeline with very controlled spending in R&D for the immediate future.
 We believe that with our recent -- our new product development efforts, we are in a strong position to harvest and grow from our current offering. As I stated in our release, we continue to achieve earnings per share growth at a higher rate with a solid increase in our sales, and our 9-month results at the top and bottom lines have already exceeded our results for the full year of 2011. And as Andrew will outline in his comments, this growth was led by our Manitex division with continued improvements from all of our operations.
 With those brief opening comments, I’ll turn it over to Andrew to discuss the specifics of our quarterly results, after which I will wrap up with our outlook. Andrew? 
Andrew Rooke: Thanks, David, and good afternoon and welcome, everyone. Following our usual format, I’d like to start out by providing a general business update, which is summarized on Slide 4.
 Overall, we’re pleased to say that despite the significant uncertainly in the world’s markets today and the relatively stagnant overall global economy that we seem to be operating in, our niche products and particularly some of our newly introduced cranes continue to meet a healthy level of demand, and the result has been continued growth for Manitex International.
 With European markets particularly shaky, marked by a very tight credit market and slow-to-0 economic growth and the general North American construction environment also in what we would call a sluggish state, we continue to drive forward with product innovations, channel development and expansion to new industrial markets.
 In particular, we’re pleased with our penetration of the energy and power line construction sectors with innovative product offerings and the extension of our international markets, particularly for our more European-centric port and container handling equipment and also for our other energy and mining products.
 Demand from the North American energy sector remains healthy as evidenced in our rate of inquiries and project activities, and we currently see this continuing throughout the end of this year and into next year. In summary, therefore, notwithstanding the signs of uncertainty and slower global growth, our products remain in high levels of demand in our niche markets. And once economic conditions improve throughout the world, we should see further impetus to our business. 
 With regard to our product sales, the third quarter has been very similar to recent quarters with demand still being driven by the energy and power line construction sectors seeking our higher tonnage boom trucks and specialized trailers. In fact, shipments of our larger tonnage Manitex boom trucks are up by over 120% compared to the comparable quarter of 2011. We continue to see the positive response to our product development strategy. Subsequent to the end of the third quarter, our Badger equipment team hosted a very successful 4-day launch event of the new 15 ton Badger pick and carry crane targeted for the industrial and refining sectors, attended by dealers and customers from across North America.
 Included in our announcement of that launch last month, we reported over $1 million in new orders, which we will begin delivering in the current quarter. At the same time, as part of our expansion activities and drive to get product to our dealers as quickly as possible, we started shipments with the Manitex 17 ton crane from the same facility in Minnesota, having completed the relocation of that product from Georgetown, Texas.
 Our backlog at September 30, 2012 was $126 million, a year-over-year increase of 99% and a year-to-date increase of 50%. This was, as expected, a reduction from the June 30 quarter-end backlog of $150 million from a combination of the successful increases in output we’ve implemented and the slower order intake in the third quarter, which is partly seasonal, partly economic and partly timing of order receipts.
 Our planned product expansion is targeted to allow us to balance production activity with demand and will therefore contribute to increased revenue, as well as improved lead times to customers. Currently, all of our operating companies have an increased backlog compared to a year ago and Manitex boom trucks represent the major part of the backlog expansion.
 Now turning to the financial results, Slide 5 of the presentation shows the key figures for the third quarter of 2012 with comparatives for the third quarter of 2011 and the second quarter of 2012. As I cover the numbers, I hope you’ll see why we were very happy with the quarter on many fronts and are pleased to recognize the contribution of the whole Manitex International team, supply chain and dealers in their performance this quarter.
 Third quarter 2012 revenues of $53.4 million increased $16.4 million or 44% from the third quarter of 2011, resulting from production increases at several facilities implemented in response to the higher levels of demand experienced over the last 9 months. Consistent with the business mix in the first half of the year, Manitex boom trucks were responsible for approximately 80% of the increase, where the higher tonnage and higher reach boom trucks continue to represent the principal product and demand.
 The remaining significant increases in year-over-year quarterly revenues were generated by specialized material handling products in Load King trailers, which was also driven by strong end-user demand in the energy sector. Local currency sales of CVS specialized port and container handling equipment increased on a year-over-year quarterly basis by approximately 18%, driven by international sales. However, this was offset by an 11% strengthening of the dollar over the period.
 On a sequential basis compared to the second quarter of 2012, revenues increased almost 2% as we maintained the higher levels of output from the expansion plans we outlined and implemented starting at the end of 2011 that continued throughout the year.
 Third quarter gross profit of $10.8 million was a $3 million increase or 38% year-over-year improvement, driven by increased sales volume. Gross profit margin was 20.3% compared with 21.2% for the comparable quarter and 20.5% for the second quarter of 2012.
 The gross margin percent decrease in year-over-year quarters is the result of an increase in company purchase chassis used in production between 2011 and 2012, a note on which only a nominal margin was obtained. During 2012, our mix of sales has been relatively consistent over the recent quarters and we don’t see dramatic change in coming periods.
 Net income for the third quarter of 2012 of $2.5 million or $0.21 per share was an increase of $1.5 million, 145% or $0.12 per share over the third quarter of 2011. The 44% year-over-year improvement in revenue resulted from an increase in gross profit of $3 million, which was partially offset by additional operating expenses for R&D of $0.2 million and SG&A of $0.6 million. The increase in R&D expenditure related to new products to be launched in quarter 4 2012 and in 2013. The increase in SG&A reflects the impact of increased sales-related costs from expansion of our sales organization, commissions and increased performance-related compensation.
 As a percentage of revenue, SG&A expense declined by 310 basis points to 10.8% of revenues compared to the third quarter of 2011. EBITDA for the quarter was $5.3 million or 10% of sales, an increase of $2.2 million or 70% in the third quarter of 2011 and is another record quarterly level for the company. We do believe that EBITDA margins still have potential for improvement going forward and have consistently stated that 10% to 12% margins in this business are possible would be our long-term target.
 Slide 6 is a bridge between the quarter 3 2011 net income of $1 million to the net income of quarter 3 2012 of $2.5 million. Walking through the reconciliation table, quarter 3 2012 sales increased $16.4 million, which provided a gross margin benefit of $3.5 million and there was an adverse impact of $0.5 million, the effect of a slight reduction in the gross margin percent from the increase in company-purchased chassis used in production between 2011 and '12, on which only a nominal margin was obtained. The combination of the volume and mix provided a net gross profit increase of $3 million.
 As discussed a moment ago, our commitment to growth and new product development together with our significant revenue increase has resulted in R&D of $0.2 million and SG&A of $0.6 million. Interest expense was favorable $0.1 million, benefiting from the reduced interest from the early repayment of $3.8 million of long-term acquisition debt, a benefit that will continue into future periods. This was offset by a one-time expensing of unamortized debt discount trigged by the early repayment and recorded as other expense.
 The other key contributor to the net income movement between the 2 periods was an increase in tax expense of $0.7 million, principally generated from an increase in taxable income, since the effective tax rate remained relatively constant, decreasing to 34.4% from 34.9% for the third quarter of 2011.
 Slide 7 shows our key working capital and liquidity ratios. Working capital has increased $17.8 million from December 31, 2011 from increasing cash of $3.2 million and receivables and inventory of $27.4 million, being partially offset by increased accounts payables, accrued expenses and other current liabilities totaling $13.7 million. This increase in working capital helped support year-to-date growth of 41% in revenue.
 Our current ratio of 2.3 and other working capital ratios remained strong as we have moved through this growth phase. Inventory has increased since the end of 2011 as we have ramped up production at our operations and the supply chain has responded to our schedule increases.
 Raw material includes an increase in inventory of truck chassis, which has allowed us to improve production throughput by reducing the impact of delayed deliveries from manufacturers. Increased work in process reflects the improvements of the pipeline of product for shipment in the next quarter, with some of the longer lead time orders in the pipeline and in the backlog prepared to ship.
 Slide 8 shows our capitalization and liquidity position. We reduced total debt by approximately $3.1 million during the quarter ending at $46.3 million at September 30. This was an increase of $4.1 million compared to December 31, 2011 or an increase net of cash of $0.8 million.
 Increased borrowing at $10.3 million on lines of credit, equipment finance and Italian working capital financing are offset with repayments on other long-term debt of $6.4 million. This repayment includes the early repayment of $3.8 million of long-term acquisition related debt during the third quarter.
 Finally, with the record quarter performance, we delivered $5.3 million in EBITDA equal to 10% of sales leading to a trailing 12-month EBITDA of $16.7 million, which provides a strong interest coverage ratio at 6.8x at the end of the quarter.
 And now, I’d like to hand back to David for his final summary. 
David Langevin: Thank you, Andrew. Since 2009, our sales have grown from approximately $50 million to $100 million in 2010 to $142 million in 2011. And we’ve stated that we believe our sales will be slightly greater than $200 million in 2012. Approximately $60 million of that growth has been derived from acquisitions, with a majority or approximately $90 million has been from internal organic growth.
 During the same period, our EPS and EBITDA have grown at a much faster pace than our sales growth. We believe these results support our stated objective of selling selective equipment products into markets with superior growth economics. We are clearly impacted by the broader economic markets, but we've demonstrated the ability to expand at a pace which exceeds the normal GDP growth curve.
 Our intentions are to continue to strive for growth in the future by applying the same formula. We will drive to continue to grow our business internally through targeted product development, along with high quality distribution expansion and supplement that growth with accretive, opportunistic acquisitions, which are strategic to our business.
 And finally, with our backlog at our primary Manitex subsidiary stretching well onto the second quarter of 2013, we believe we are well-positioned for continued growth at an attractive level for the near term and long term.
 With that, Damien, Andrew and I would be pleased to take questions. 
Operator: [Operator Instructions] Our first question comes from the line of Kristine Kubacki with Avondale Partners. 
Kristine Kubacki: I just have a little bit of question here. ISM obviously got particularly weak in kind of the August timeframe, but then we’ve seen it rebound a little bit as we’ve come through September and into October. I was wondering if you could kind of give us some color into the cadence of your orders in the quarter. Did it follow what -- kind of what we were seeing in ISM, did it -- whereas there was a lull in August and maybe coming back and maybe seeing some strength at the end of the quarter that perhaps bolsters your positive outlook? 
David Langevin: Yes, I think that, I think you’re right, Kristine. We were quiet in August. And but we did see some, I think Andrew referred to that, some improvement in the amount of activity that we saw in September and it flowed through into October. So that does give us some optimism as we go forward and October was a good month for us. 
Kristine Kubacki: And then I know it may be a little bit early to tell here, but obviously given what’s happened in the northeast and talking about your opportunities with power line and that. Is there any opportunity that you see, and I hate to use the word opportunity, but given that there’s an amount of infrastructure and getting power back on line, is there -- are you seeing any business there or you expect to see any? 
David Langevin: I agree with you, Kristine, it’s not something that you want to benefit from, from all of the issues that are out there. But obviously, with our equipment it’s going to be used more, which probably means the turnover of that equipment is going to be faster and while you probably won’t see it in the near term, you’re certainly going to see it because they have to replace that equipment faster. There’s going to be more demand as they try to figure out how to prevent some of the stuff going forward. I mean there’s been a massive undertaking in the power grid in the United States anyhow, and I think this is just going to accelerate that process which is very good for us. But again as you say, you hate to benefit from some of these disasters, but in fact we do. 
Kristine Kubacki: Okay. And then given your view through perhaps CVS Ferrari, and I was wondering if you could talk a little bit about that business. And then just in general kind of what the conditions that you’re seeing in Europe at the moment. Are we seeing a bottom yet? 
David Langevin: I was just over in Europe, and it’s -- I can’t really touch where the bottom is, but it’s a deep hole, it's ugly. And -- not that that’s funny, it’s not funny at all. It’s unfortunate, but our guys are doing a great job between trying to sell these products all over the world. I mean it’s been an international company for years and years and we’ve announced orders this year of course for South Africa and Brazil, but they’ve sold units to Korea, Germany, Russia, Australia. They’ve just done a great job. And Andrew did mention that the year-over-year is up excluding some impact for the change in the dollar of course. But I think they’re doing a very great job of running their business in a difficult environment. Used to be 50% of our business was European, but of course that mix has changed dramatically. But we’re hopeful that over the next couple of years, we’ll start to see some opportunity there again. 
Operator: Our next question comes from the line of Joe Bess with Roth Capital Partners. 
Joseph Bess: Looking at your guys' new products and as these roll out in 2013, can you comment on how this impact your margins in the year, as you guys introduce them to newer markets? 
David Langevin: Well, generally in the manufacturing process some of your new products long term have some of your best margins. But in the short term, you have some inefficiencies after you roll those products out. A good case in point is of course the original 50-ton product that we introduced a number of years ago and then of course we’ve introduced a number of subsets for that 50-ton. I don’t know exactly how many different models, Andrew, but at least 8, I think 8, 9, something like that? 
Andrew Rooke: Correct. 
David Langevin: And we’ve gotten better as you create and generate these new products and of course you try to do standard modeling when you put it together. So I would expect that over time we’ll see improvement in our margins as a result of those products, but not initially because of the inefficiencies with just learning how to make them. 
Joseph Bess: Okay. And then thinking about M&A, is there anything in the pipeline for you guys, and if so, what sort of leverage ratios are you guys comfortable with? 
David Langevin: Well, we’re in a very good position now, as Andrew mentioned our coverage ratio is, on a 12-month trialing basis, is very good and it’s only going to get stronger because our cash flow continues to improve. So we will get to ratios that exceed where we are now. And so we’re -- I think we have an opportunity to take a look at things around the world, but that’s just our normal process. I wanted to mention it in my remarks because it's part of our strategy. 
Joseph Bess: Okay. And then thinking about orders a little bit more, I think you guys did a good job highlighting that Q3 was going to be a little bit softer in orders versus Q2. Do you think that this would now be kind of a place where we could continue to go from, or are you anticipating another quarter where it might contract a little bit? 
David Langevin: Well, it’s hard to tell between now and the end of the year. We’re going to keep trying to produce at the highest level that we can with -- on a controlled basis, because again we don’t want to get too far out above the order book. And we have to kind of balance the orders with the production because obviously people don’t want to wait, although while we think we have the best product in the world and people should wait 9 months for it, if they have a project that needs to lift under our low charge, they can find other ways to do that if we’re not able to deliver our product on a timely basis. So we’re going to keep trying to ramp up production again on a controlled basis, but the order book seems to be holding up, but I can’t really make a judgment right now as to whether or not it’s going to go up or down between now and the end of the year. 
Joseph Bess: Okay. And then higher tonnage cranes have been consistently strong in energy and power lines for the last 18 months or so. What markets are you seeing right now that possess an opportunity for more upside in the next I guess 12 months would you say? 
David Langevin: Well, you’ve seen some pretty good markets in just the general construction in certain pockets around the United States, around North America. As we all know, we’ve seen housing starts and rental starts. And I could say those type of units start to perk up. So it seems like we’re getting broader, we have a broader base of orders now. But clearly, as we’re identifying where our business has been coming from, that’s where it’s been coming from. But it seems like that base is broadening. I don’t know if, Andrew, if you have any other insight, you work on that area pretty carefully? 
Andrew Rooke: Yes. No, I think you’ve summarized it well, David. We see a lot of project activities still in those energy areas and power line areas that we’ve been talking about. And then as you say, there were pockets of construction coming back. So I think it’s a fair summary. 
David Langevin: I think, Joe, also the reason why Andrew mentioned and we mentioned this in previous quarters that we expanded our production into our Badger facility was just to identify and take advantage of these opportunities as we see them so we can expand our production. So we’re producing more non-energy products out of Badger right now. And so that’s allowing us to capture some market there as well, and we’ll continue to do that. 
Operator: Our next question comes from the line of Scott Blumenthal with Emerald Advisors. 
Scott B. Blumenthal: Your guidance of 175% increase in EPS year-over-year, can you, since I’m pretty new to the Manitex story, maybe give me an idea as to what the basis of the number is, the base year being of course last year, I have the 10-K out, it looks like you’ve already gotten there. 
David Langevin: Well, hopefully we did our math right, but it’s over $0.24 and I believe if you do the math, you have some kind of guidance from the 175%. 
Scott B. Blumenthal: Okay. All right. 175% of $0.24 gets me to about -- okay, very good. Can you maybe then discuss some order uptake on some of your new cap down products, you were very excited about them this summer. And I understand that you had a release there and do you or Andrew see those things exceeding or matching your expectations, what you expected up to this point? 
David Langevin: We’re preparing our budgets now for next year, and I was recently on a sales call with the General Manager from that division, and I’m very excited about what’s happening there. We think we’ve got a niche that fills a need, it’s hundreds of units a year and while we’re not going to get hundreds of units next year, it’s going to be a nice meaningful addition to our sales and that’s exactly the type of thing that we've been trying to develop. And we have, when I said in my remarks that over the last few years, $90 million of our increase in sales have come from internal organic growth, a lot of that is new products. And then I think Andrew is working on a summary of those which we’re going to start to include in our investor presentations to try to reinforce that, but I think this is going to be a winner for us. 
Scott B. Blumenthal: And since I have Andrew on the phone here, Andrew, do you think you might be able to break down a little bit further the increase in inventory that you experienced here? Obviously, your sales are meaningfully higher. But you did mention the chassis a couple of times on the call. Can you maybe give us an idea of what you have kind of in raw materials or assembly parts, and then maybe what you have kind of work in process? 
Andrew Rooke: Sure, Scott. The -- consistent with our business over a number of years, the majority of our inventory sits in raw materials. And of that, that’s probably about $47 million of the $60 million is in raw materials and then you probably got around about $8 million within -- probably about $6 million in finished goods. And that's, as I say, a pretty consistent trend over a number of years. The -- one of the more pleasing aspects of it actually at the moment is that we have managed to increase the work in process which means that we're more prepared at the start of every quarter, at the start of every month to ship product very quickly, so the pipeline isn’t totally sucked dry during the quarter, and that means that we’ve got the supply chain working much more in sync with us as we move forward. It’s the nature of our business, but being not a vertically integrated but an outsourced model, we do require inventory to support the level of growth that we're after and we talked about 40% year-on-year growth on a year-to-date basis. And therefore, we do need to invest in inventory and that’s what we are currently doing. At the end of the day, it does require a lot of work with our supply chain, with our manufacturing facilities because you need every component to complete the manufacture and to complete the sale and that all needs to be there at the right time, not too early, not too late, so you can ship the product. And there's always room for improvement in that area and that’s something that we continually focus on as well. 
David Langevin: Is the chassis -- Scott was asking about also for chassis component, is that about a $1 million? 
Andrew Rooke: About $1 million. And that sits in our raw material numbers, yes. 
David Langevin: Yes. So Scott, that's the answer on your chassis. 
Operator: Our next question comes from the line of Jeffrey Lum [ph] with Tuxedo Road Associates. 
Unknown Analyst: I’ve got a series of questions, should I break them up? I’ve got 6 in total. 
David Langevin: Take your best ones, Jeff. Give us your best shot. 
Unknown Analyst: Let’s start with the 15 ton, 17 ton new product endeavor. Historically this has been a competitive market. Post 2008, 2009, the market changed. I recognize the desire to re-enter into that marketplace. How do you differentiate your new product offerings against what is available currently in the marketplace? 
David Langevin: Well, we’re going to be very selective at where we’re going after. And not to kind of give away all of our strategy, but there are certain niches in that area where the customer previously has bought one unit dominated or one company dominated that and that company is no longer offering that product. And so we believe that based on the intelligence that we did over a number of years that we will be able to fill that void. So that’s the reason why. Now obviously, we’ll catch some of the industrial market, but that’s really not where we’re going. And there really isn’t too many competitors in a cap down specialized crane. There’s 2 other ones that are very well known names, but we'll get our fair share. And if we get our fair share, it'll be, like we said earlier, from an earlier question. 
Unknown Analyst: It will be incremental. 
David Langevin: It'll be pretty good business. 
Unknown Analyst: Two more softballs. How much is left under existing lines? 
David Langevin: I'm sorry. What did you say? 
Unknown Analyst: How much is left under existing lines? 
David Langevin: I think, Andrew said, what did you say, $6 million, Andrew? 
Andrew Rooke: Yes, available at the end of the quarter. 
David Langevin: Yes. So that’s $6 million and $3 million in cash flow, so it was around $9 million. 
Unknown Analyst: Okay. And last one softball. What’s going on at Liftking? 
David Langevin: Liftking is going to continue to develop. We’re going to have a fairly decent year, not a lot of military business, but some military business. I don’t think the percentage -- last year the percentage of military business was 4%. I don’t really think that’s going to change much, although obviously over a much higher base. I would say -- I would give you this answer, it’s solid. Canadian market's pretty good and I think that we have some good hopes for that for next year on some of the projects, specifically that Andrew's involved with. 
Operator: Our next question comes from the line of Doug Thomas with JET Investment Research. 
Doug Thomas: Guys, I can’t tell you how delightful it is to have an upbeat, positive call after what’s been a really a miserable couple of weeks. 
David Langevin: We’re trying to -- you just got to keep on going. 
Doug Thomas: Yes, I very much appreciate it though. I was wondering, the question I have really sort of goes to -- it’s not a question, don’t take it the wrong way, it’s not like what have you done for me lately or anything like that? 
David Langevin: Why isn’t the growth more, right? 
Doug Thomas: Yes, no. Because it struck me since I met you in Chicago and been obviously following the company that in an environment where you're really -- you’re doing a lot of good things that typically you -- that is sort of a self-reinforcing mechanism when it comes to a corporate entity. You basically reinvigorate the company from bottom to top, and I’m wondering if it’s having an effect within the company workforce as it relates to development of new products, new ideas, gaining distribution, all that stuff. It would -- it just seems to me that what you guys are doing really puts the company in the early stage in terms of sort of real positive development over the near term. 
David Langevin: Well, Doug, I’m glad you mentioned it because obviously sometimes these intangibles are not discussed. We mentioned several times on the call and in our release; it’s not Andrew and I doing everything by any means. It’s all -- we’re doing the least, we get the benefit of being on these calls and talking to investors all the time, but the real benefit is all the people are doing all the work. And I certainly hope that, I know as I go around and Andrew does the same thing, we have a great spirit amongst the organization. Everybody likes to be involved in something that’s growing; everybody likes to be involved in something that is making more money every quarter. But on the other hand, we obviously -- we also function in the same awful environment that you’ve mentioned. And so we have to try to continue to create ways to counteract that and do - we deal with whatever we deal with. So I think we do have a very high spirit, creative, fast organization and we’re going to try to continue to harness that so that we can continue this growth going forward and that’s the message we’ve been trying to deliver. 
Doug Thomas: Has the initiatives around new product development and new markets, has it led to some ideas whether it comes from your distributors or have you identified additional growth opportunities for beyond 2013 that you would -- you could talk about it some point in the near future? 
David Langevin: Yes, these ideas come from everyplace. I mean, everything starts with the customer, of course, and then the engineers, the salesmen, everybody brings in these ideas and you identify which ones have the best opportunity for the company. But specifically, we’re going through, as I mentioned, the budgeting process now. One of the things that we ask everyone to do is to give us their latest and greatest ideas so we can start marketing and doing other analysis to determine which ones we think have the best potential. But it’s just a continuous process. It comes about all kinds of different ways and you have to try to kind of pick and choose which ones that you think are the ones for a small company. Like you said, we’re a small company, so we have to -- we’re not like Caterpillar that has gazillion dollar development project. We have to be very selective. 
Doug Thomas: I mean, I’ve been fairly cynical on the country's, obviously as a lot of people have on the government’s ability really to foster an environment where there is meaningful infrastructure growth. But if we’re about to see some spending in some of the areas that we desperately need spending in, you guys should definitely benefit. 
David Langevin: We should, absolutely, and I hope that happens. 
Operator: Our next question comes from the line of Josh Goldberg with G2 Investment Partners. 
Josh Goldberg: Can you talk a little bit about the gross margins? I expected kind of a little bit better pick up there. Was it just some absorption of overhead or how positive are you about gross margin improvements in the back half of the year and into next year? And I have a follow-up. 
David Langevin: It's always a tough one, this gross margin. We have markets, the Manitex product specifically is roughly about 50% of our business, and those gross margins are slightly greater than what we show overall. And the other 50%, being the other divisions, are all slightly less than the margins that we show. So we're constantly struggling to try to improve that overall. I think in the near-term, the fourth quarter with the -- we had -- as I said, we had a very good October, but November, December a little more of a challenge because of the inefficiencies in the production process to the plant shutdowns in November and December for the holidays. But as we go forward, we’re going to continue to strive, as I mentioned in my remarks and in our release, continue to strive to improve those so we can get improvement in our margins. I don’t know, Andrew, if you have anything specific you want to mention, but that’s our goals. 
Andrew Rooke: No, I think that’s fair enough. 
Josh Goldberg: And I guess on that point, I mean you sound very confident in growth next year, both in earnings and in revenue. We’re kind of hitting around this $53 million or so revenue number, probably be down a little bit in the December quarter. Do you have a sense on, without being explicit, double-digit growth or do you think it’s just going to stay at this sort of $54 million for a while here through 2013? 
David Langevin: We’re going to try and to expand beyond that level. Obviously, we want to continue to grow this company and we intend after the fourth quarter, because you’re right, fourth quarter, if you do the math on what we stated, is going to be kind of in this range, but after the fourth quarter I’m hopeful that we can. Now the first quarter, seasonality, second and third are usually our best quarters. If you look at history, it’s usually the second and third that are strongest versus the fourth that are the weakest. So -- but we’re going to try to continue to ramp-up production just like we have talked. 
Operator: [Operators Instructions] We do have one follow-up question from the line of Jeffrey Lum [ph] with Tuxedo Road Associates. Please go ahead. 
Unknown Analyst: Historically through Q1 and Q2, chassis basically were being ordered by your customers and that was not a burden to margins. Listening to the commentary on Q3, does that have something to say about the capacity of your suppliers in terms of being able to deliver product chassis to you in a timely fashion or what was... 
David Langevin: No, I think the -- we did have issues, as you know, a while back with chassis just getting our hands on them. That’s not the case now. And I think just to improve the deliverability and the production efficiencies, we’ve taken delivery of some more chassis, but it’s not -- with the, I think it was 900,000 that we had in chassis in the inventory at the end of the quarter. It’s not a --compared to historical levels, it’s not significant. 
Operator: Gentlemen, I do show there are no further questions at this time. Please continue with any closing remarks. 
David Langevin: Thanks, Damien. Appreciate it. And thank you everyone for your interest in Manitex International. 
Operator: Ladies and gentlemen, this concludes the Manitex International, Inc. Third Quarter 2012 Results Conference Call. Thank you for your participation. You may now disconnect.